Operator: Good morning. My name is Kelly, and I will be your conference operator today. At this time, I would like to welcome everyone to the Third Quarter 2015 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Miss Liddle, you begin your conference.
Lynn Liddle: Thanks, Kelly. Good morning everybody and thanks for joining us. We are going to follow our usual pattern of some prepared remarks by our Chief Financial Officer and our CEO and then we’ll open it up for question and answer. We do set this up as an investor call, so I’ll kindly ask the members of the media to be in listen-only mode and I’ll also turn all of your attention to our Safe Harbor statement in the event that any forward-looking statements are made. And with that, I’d like to introduce our new CFO but long-time Domino's team member, Jeff Lawrence.
Jeff Lawrence: Thank you, Lynn and good morning everyone. Before we discuss the results for the third quarter, I’d like to make some brief comments on our recently announced proposed refinancing of our capital structure. As communicated in our September 28 press release, the company intends to issue approximately $1.5 billion of new fixed rate notes in the fourth quarter. We plan to use the proceeds of the $1.5 billion issuance to call and retire at par $551 million of existing 2012 fixed rate notes, to pay transaction fees, and use the remaining net proceeds for general corporate purposes. The refinancing would bring our total debt-to-EBITDA leverage ratio from approximately 3.6 times at the end of Q3 to approximately 5.8 times at closing. The company also expects to enter into a new $125 million variable funding note facility which would replace our existing $100 million facility. Due to security law restrictions, we are unable to go into any more detail today or answer any questions regarding this proposed refinancing. We appreciate your understanding. We do plan to have a follow-up call with investors at the conclusion of the refinancing, and we will announce the date for that call at a later time. Let’s now move on to our third quarter results. This quarter, our domestic and international divisions again posted very strong same store sales growth, and we opened a significant number of new stores globally. Our earnings per share grew 6.3% over the prior year; we are pleased with these results particularly in the face of continued foreign exchange headwinds and an insurance charge we took during the quarter that I will discuss in more detail in a moment. Global retail sales which are total retail sales at franchise and company owned stores worldwide grew 6.1%. When we exclude the adverse impact of foreign currency, global retail sales grew by 15.2%. The drivers of this retail sales growth include domestic same store sales, which rose by 10.5% in the quarter, broken down our U.S. franchise business was up 10.4% while our corporate stores were up 11.5%. Both of these comp increases were driven primarily by traffic or order count growth. We also saw some ticket growth during the quarter. We are also pleased to report that we opened 14 net domestic stores in the third quarter consisting of 24 store openings and 10 closures. Over the past four quarters, we have opened 96 net domestic stores. Our international division had another strong quarter as same store sales grew 7.7% collecting a prior year quarter increase of 7.1%. This marked the 87th consecutive quarter of positive same store sales growth for our international business. Our international business also grew by 188 stores during Q3, comprised of 201 store openings and 21 closures. Over the past four quarters, we have added 742 net stores internationally. Turning to revenues, total revenues were up $38 million or 8.5% from the prior year. This increase was primarily a result of three factors. First, higher supply chain center food volumes driven by strong U.S. comps as well as increased sales of equipment to stores in connection with our global store reimaging program. These supply chain increases were partially offset by lower commodity prices. Second, higher domestic same-store sales and store count growth resulted in increased royalties from our franchise stores and higher revenues at our company-owned stores. And finally, higher international royalties, again from increased same-stores sales and store count growth, which were partially offset by the negative impact of foreign currency exchange rates. Currency exchange rates negatively impacted us again this quarter by $5.5 million versus the prior year quarter due to the dollar strengthening against most of our currencies. So far this year, foreign currency has negatively impacted revenues by $13.5 million. When we look at current projections, we now estimate that foreign currency could have an $18 million to $20 million negative impact on revenues for the full year 2015. You will note that this range is substantially higher than what we estimated back in January at our investor day. At that time, we gave you a range of between $8 million and $12 million, so foreign currencies have negatively impacted us to a much greater degree than any of us had expected. To put it in perspective, our 2015 global retail sales would have been more than $1 billion higher if we had used 2011 exchange rates. The good news in all of this is that we have continued to drive strong sales internationally and performed well on the bottom line despite this substantial headwind. And if currencies moderate over time, this could eventually become a nice tailwind for us. Now moving on to operating margin. As a percentage of revenues, consolidated operating margin for the quarter decreased to 29.3% from 29.9% in the prior year quarter. The main driver of this decrease was the previously reported $5.7 million pre tax insurance charge reported in Q3. This was related to updated independent actuarial estimates for our casualty insurance program. This $0.06 per share charge was reported in cost of goods sold in both our supply chain and domestic stores segments. Consolidated operating margin was also pressured by the aforementioned foreign exchange headwinds, which does impact international margins. Operating margins benefited from lower commodity costs in the quarter and higher sales in all business segments. Looking at company-owned stores, operating margin there decreased to 19% from 23%, again driven primarily by the insurance charge, similarly supply chain margin decreased to 10.2% from 10.3% also due primarily to the insurance charge offset in part by lower commodity costs. As a reminder, commodities are generally priced on a constant dollar mark up to our franchisees, therefore lower commodity prices do not impact our supply chain dollar process, they do, however, positively impact our supply chain margin when looked at as a percentage of revenues. The average cheese block price in the third quarter was $1.69 per pound versus $2.04 in the same period last year. This led to our overall market basket decreasing 5.7% as compared to the prior year quarter. Based on current forecast, we now expect that commodities we use will be down approximately 5% to 7% in 2015 compared to 2014 levels. Let’s now shift to G&A. G&A increased by $4.8 million in the third quarter versus the prior year quarter due to several factors. Our planned investments in our team primarily in e-commerce, technology, and international drove most of this increase. Our higher same-store sales also led to increases in volume driven expenses such as variable performance based compensation, company-owned store advertising, and franchisee incentives. As we have noted before, this 2015 fiscal year does include an extra week. We continue to project that our G&A will be in the range of $270 million to $275 million for the 53-week year. We estimate that the extra week will drive approximately $4 million of this G&A expense. Switching to income taxes, our reported effective tax rate was 37.6% for the quarter. We continue to expect that 37% to 38% will be our effective tax rate for the foreseeable future. Our third quarter net income was up $2.2 million. This 6.2% increase was primarily driven by higher comps, both domestically and internationally, global store growth, and increased supply chain volumes. Our improved results were partially offset by the negative impact of the insurance charge and foreign currency exchange rates. Our third quarter diluted EPS was $0.67, this is a $0.04 or 6.3% increase from the $0.63 EPS in the third quarter of last year. Here’s how that $0.04 difference breaks down. The insurance charge negatively impacted us by $0.06. Foreign currency negatively impacted us by another $0.06. Lower dilutive share count primarily due to our share repurchases benefited us by $0.01 and most importantly, our improved operating results benefited us by $0.15. Now turning to our use of cash. We repurchased and retired approximately 365,000 shares for $41 million or an average price of approximately $112 per share during the quarter. We also returned more than $16 million to our shareholders in the form of our quarterly dividend. Overall, our global momentum again resulted in great comps and store growth. Thank you for your time today. And now I’ll turn it over to Patrick.
Patrick Doyle: Thanks, Jeff and good morning, everyone. I’m proud to be reporting the third quarter as mostly more of the same. The business and brand continue to thrive as a top performer in the industry and franchisees, both domestic and abroad continually impress me with the way they meet the challenge of sustained success as they continue to pile up points from the scoreboard. I believe the fundamental strength of our business is the foundation of our success, despite some of the headwinds we faced this quarter. In fact, we were able to take those hits better precisely because we are growing so strongly. I am proud of our results and our continued product and technology innovation. Our strategies are working, fundamentals continue to strengthen and the results and returns to shareholders speak for themselves. Franchisees, store managers and our team members are simply getting the job done. Focussing on our domestic business our emphasis on innovation and execution continues to fuel tremendous brand momentum. Franchisees and corporate store operators are all in executing at the highest level I have seen during my time as CEO, notably related to service and for our franchisees strategic growth. Because of this, we delivered strong double digit performance marking our 18th consecutive quarter of positive same-store sales in the U.S. and continue to move forward on domestic store growth. We are also closing in nicely in our goal of having 2000 stores in the U.S. reimaged by year end. There is never a better time to grow within Dominos and franchisee profitability well on its way – is well on its way to surpassing average EBITDA of $100,000 per store for 2015. And I am pleased to see more and more franchisees understand that and act upon it as we see the strong return on investment generating increasing store growth. After thoughtful planning and testing, we announced our first nationwide loyalty program early in the fourth quarter, both the intent and execution are simple, sign up order on-line or via mobile app and start earning points towards free pizza. We’ve seen what loyalty programs do for customers across many different industries and it was time for us to get in the game. We expect to drive order frequency and connect with customers through our unmatched digital experience. We take the same strategic approach with menu expansion and believe it is best to take our time when launching new products with the full intention of their remaining permanent menu items. Our marbled cookie brownie which launched in mid September is a good example of that, and we are excited to introduce our first dessert item in over five years. Switching to technology, the story continues to be about investing in innovation. Technology is now an absolutely critical part of our brand and an undeniable element of what Dominos stands for. We don’t just talk about innovating, it’s generating real results. And for the second time this year we are using national television to promote a technology driven message. We are promoting and continuing to introduce many digital platforms available to customers including text and tweet to order, Smart TV, Smart Watch, Ford SYNC and voice ordering via our virtual ordering assistant, Dom. These platforms are unmatched technology first and have been effective in keeping Dominos top of mind and at the forefront of the digital curve something we are very proud of. We are seeing the positive impact of our online pizza profiles. In just over two years since the launch, 40% of our digital users have now created a profile and are able to use its many benefits including easy order, saved order and payment information and now our loyalty program. So continuing the theme of keeping the momentum going especially within the technology space, we are proud of our position as a digital leader. We respect the technology’s impact on our performance and results, and we continue to make the investments needed to maintain this lead. Turning to our international division, the segment performed yet again, with very strong sales comp of 7.7% and stand out sales performances included the U.K. Australia and Canada and we are pleased with the unit growth in India and Japan among others. Here is an impressive number regarding store growth. 742 net store openings on a 12-month trailing basis helped by a solid showing in the third quarter of 180 net openings. We have now exceeded 7000 total stores outside of the U.S. This milestone is a credit to our master franchisees who continue to introduce and grow the Dominos brand in both developed and emerging markets across the globe in remarkable fashion. One of those new markets which we just announced on Monday is one that may know a thing or two about pizza, Italy. We are excited to be partnering with our master franchisee e-pizza which will operate Dominos locations under the name, Dominos Pizza Italia beginning this week from its first store in Milan. The current plan is to open three stores in Milan by year’s end so while the market will take its time and is certainly in its infancy one thing is for certain, Italy loves it pizza as the Italians reportedly eat it seven times a month. As was noted by e-pizza’s management in this week’s announcement, we also continue to work together with our master franchisees to help them grow their digital presence or reach full digital capability within their market. We currently have 11 markets using their global online ordering platform with digital sales mix and participating markets increasing rapidly. I’m not only pleased to see digital growth in most markets but I’m particularly encouraged to see the results of our collaboration with master franchisees come to life. In closing, our sales and growth continue to demonstrate unparallel strength and sustain success despite facing headwinds. We’ve proven we will be strategic in our decisions and growth plans. We’ve proven we will innovate, we’ve proven to have an industry leading international model and we’ve proven we will continue to respect and aggressively pursue the challenge of sustaining our success. Thanks for your time and I’ll now open it up for questions.
Operator: [Operator Instructions] Your first question will come from the line of John Glass with Morgan Stanley
John Glass: Thanks very much. In the spirit of understanding, you don't want to talk about the current debt offering, is there any way or anything you can say about how philosophically you view returning that amount of cash to investors?
Patrick Doyle: John, I really can’t get into that right now as we are kind of in the middle of that process.
John Glass: Got it. And then – so on these two other things, then one small and one larger. One, just on the insurance charge on this quarter, I understand where it came from. Is that recurring? Was that a catch up, how does one pick those numbers and think about the P&L going forward?
Patrick Doyle: I think there are really a couple of things there. I mean first what is most important is that our team members get home safely, and we had a couple of very serious accidents that drove essentially half of that charge. One was right at the end of the covered period as we went into kind of the actuarial study that we have done annually in the past, infact we are going to do that twice a year going forward now which you know should help smooth out any movement on that. That charge, we’ve gone through the same process every year in the past, we do it once a year and we’ve never had a change on that accrual of more than half a million to a million dollars. So -- the big move and there were two accidents that drove a lot of it. But I will tell you at the beginning of the year we had an increase in frequency of incidents, and some of the severity of incidents, and we take that very seriously. The trend is already getting better on that, but we’ve got to manage that closely and carefully and most importantly because we want everybody who is working for us to get home safely at the end of the day. So you know some of that is hopefully going to be more in the one-time category as long as we can manage this carefully going forward. That would be -- our expectation is that we would get it back down. I will tell you that we have had a long term trend of being flat to down on incidents in the system, and it was troublesome that it picked up. So we’re on top of it, we are going to manage it carefully, you know I can’t emphasize enough what matters more than anything is that people are getting home safely and we’re going to aggressively manage it going forward.
John Glass: Thanks for that. If I could just sneak in one more. Patrick, you said that you were advertising nationally, I think you said for the first time sort of your digital capacity and all the different ways you can order. Is it true, is that what you said and was that a fourth quarter event or did you do that during the third quarter? And if it was during the third quarter, you know is that the kind of thing that really gives a breakthrough message and gives increases or gives a step function up of digital orders as a percentage of the total?
Patrick Doyle: Yes I think some of that platform, and as we were talking about kind of anywhere came right at the end of the third quarter. You know but this is the first time we’ve gone out and really talked about how all of these different places that you can order through Dominos and make it as easy as possible for people to access our brands, but this is really about the fourth quarter. It may have hit right at the end of the third, but effectively it started early in the fourth quarter.
John Glass: Okay, right. Thank you.
Operator: Your next question will come from the line of Alton Stump with Longbow Research.
Alton Stump: Thank you and good morning.
Jeff Lawrence: How are you Alton?
Alton Stump: Too good, thanks. I guess just looking back on the operational front, obviously there is a fair amount of noise of currency and also the insurance claims in the quarter. But as you look at what's driving your comp performance, obviously, I want to talk about technology, have you seen any difference in the pace that's even better now than it was couple of quarters ago that you're seeing as a comp lift from technology or is it slowing down, I just wanted to sort of get your update on how much of a lift we're seeing or what the pace of that lift is coming from technology on comps in general?
Jeff Lawrence: Yes. We feel very good about it clearly, and you know the comps both domestically and internationally were obviously extremely strong. I think there is – we continue to find new ways to drive the business with technology, what we're able to do with the analytics around the technology as people are on these digital platforms are terrific. But I'll tell you the other thing that just adds into this tremendously is the overall momentum in the business, the energy from our franchisees, the level of execution as we're driving success overall, there is a certain amount of the success that we're experiencing right now that frankly can only be contributed to kind of the collective momentum within the system. It's driving terrific profitability for the franchisees as we've said in the script. Our expectation after 89,000 of profits last year as average for our domestic franchisees, our expectation is that we will be 100 plus which has been a goal of ours for some time. And that means that they're excited, they're reinvesting, they are driving the business forward, so there are lot of things that are playing into this, but clearly digital continues to be front and center and it’s an important part of the story both domestically and internationally.
Alton Stump: That's helpful. And then just quick follow-up on that, just the loyalty program, how big of a deal you think that could be or could drive even higher comp growth even sort off the base or is it more about getting data back that you can use going forward, just some color on that would be great?
Patrick Doyle: Yes. it just started in the fourth quarter, so I really can't get into it, I guess what I would say is we wouldn't roll it nationally if we didn't think it was going to be a positive contributor to our success going forward, but its really a fourth quarter event.
Alton Stump: Got you. Make sense. Thank, Patrick.
Patrick Doyle: Thank you, Alton.
Operator: Your next question will come from the line of Karen Holthouse with Goldman Sachs
Karen Holthouse: Hi. Congratulations on another fantastic quarter, guys.
Patrick Doyle: Thank you, Karen.
Karen Holthouse: So, one quick housekeeping question and then a real question. Can we get the breakdown of that insurance charged between the company's store line item and the supply chain?
Patrick Doyle: Yes, Karen, the overall charge on a pretax basis was $5.7 million, $4.3 million of that was reported in cost of goods sold. In the domestic store segment where team USA our corporate operations reside and $1.4 million of it was booked in supply chain.
Karen Holthouse: And then, one of the actually quick insurance question, is there any chance that if you says there is a handful accents that were at the beginning of the year that weather might have played a factor in that and we could hope for reversal next year?
Patrick Doyle: No.
Karen Holthouse: Okay.
Patrick Doyle: I mean, some of it can be attributed to simply the growth in the business that we've had and -- but at the end of the day the weather, I mean, its bad weather every winter. And so no – look we're going to manage aggressively. We have been as we saw it in the first quarter a couple of these were -- two were severe accidents that drove about half of this. But at the end of the day that's still not acceptable. We've got to manage it well and aggressively and we're doing that. Certainly it is our hope that we are going to get this back down. We're already seeing some good trend on that. But there are no excuses around this with weather or anything else. We've got to manage it aggressively.
Karen Holthouse: Great. And then, the real question, on the royalty program is it early enough that we can get any sense from test markets, what expectations around how incremental it could be to check a traffic? And then thinking the ramp what's sort of the plan for advertising and either to existing pizza profile or as to people who order digitally but on profiled versus broader just national advertising campaign for it?
Patrick Doyle: Karen, I think we can't into that, I mean, it's in the fourth quarter and I guess I'll repeat what I said to Alton. We wouldn't roll it out if we didn't believe in it, we've rolled it out nationally, but I'm not going to get anything, that's going to kind of indicate where we are with fourth quarter results.
Karen Holthouse: Thank you.
Patrick Doyle: Thank you.
Operator: Your next question will come from the line of Peter Saleh with BTIG.
Peter Saleh: Great. Thanks and congrats on the quarter. Just wondering if you could talk a little bit about the discrepancy maybe between the company-owned store comps and the franchise comps, could any of that have been due to the loyalty test that you had in place?
Patrick Doyle: No. You're looking at about one point differential. And I guess what I would tell you is anything within a couple of points are being the same is frankly the range that we would generally expect. We're in seven or eight markets with our corporate stores, there is always going to be some kind of regional differentiation in terms of performance and anything within a couple of points between the two is I think kind of expected.
Peter Saleh: Great. And just last question, just talk about maybe little bit about the decision to launch a dessert item. Haven't launched a new dessert items in many years, but why launch dessert item rather than sticking with your core on something more innovative on the Pizza side?
Patrick Doyle: Yes. Well, first of all, you may have notice we're not advertising it on television right now. We're advertising our digital and kind of the core of our business where the add dollars are going. So the Marbled Cookie Brownie is being done online and with prints. And I guess the bottom line for what do you do it is people like dessert. It is a nice add-on and generally when you're talking about something that is not center of the plate, it is going to have less effect on order growth than pizza or something that's kind of more the main meal. And this is something that is not happening within our television right now. So, the answer is this is more about kind of add-on. It's more about potentially driving a little bit of ticket. But the assumption of your question is correct, which is something like this is not going to be as focused on order count growth as perhaps pizza might be. We're advertising around access to the brands, digital innovation that's far more about order growth than the Marbled Cookie Brownie would be.
Peter Saleh: Great. Thank you very much.
Patrick Doyle: Thank you.
Operator: Your next question will come from the line of Brian Bittner with Oppenheimer and Company.
Brian Bittner: Thanks. Congratulations guys. Question about the assets. I understand reimaging the assets may be a bit less important than a non-delivery Company. But now that you do have a pretty good amount of the domestic stores in this new image, are you in fact seeing a difference in the trends at the reimage set versus the rest of the assets at all?
Patrick Doyle: Yes. I think it’s very consistent Brian with what we've said before is kind of what we're continuing to see which is an individual store getting reimaged will help the comp of that store by a point or two or three. When it gets done what is far more effective are important is the effect that it has on kind of maintaining overall momentum in the business and clearly with the comp growth that we're experiencing year-to-date were awfully pleased with the brand momentum. And we are continuing to see from that growth far more is coming out of order count growth than out of ticket. So this is about customers being excited about the experience that they're getting at Domino's and the reimaging of the stores clearly plays into that. So the individual effect on an individual store is relatively modest as we have said in the past. But we do believe that we are seeing in the results some of the overall effect of more and more of our system being reimaged.
Brian Bittner: Okay. And going back to the loyalty in the context of not what its impact is on the fourth quarter by any means, if you could just maybe just talk about it in general. How does the loyalty program that you've put in place exactly work for your customers? And maybe if you could just talk overall some things about this program that you are most excited about as you now put a loyalty program into the system?
Patrick Doyle: Yes. What I'm really most excited about Brian is the simplistic of the program. So basically you get 10 points for every order of over $10 and when you 60 points, so effectively 10 orders you're getting a free medium pizza. It's very simple, six orders, yes, so it's very simple and customers understand this and we have seen how it can affect other brands. We've done a lot of research on this in designing it and obviously we're optimistic about it or we wouldn't have rolled out nationally.
Brian Bittner: Got it. And it’s a type of -- so it’s a type of program where you know exactly what you need to do to get to an award. It is not -- a reward. It is not a surprise factor situation like some other brands are doing?
Patrick Doyle: No.
Brian Bittner: And it doesn't matter how large? Sorry.
Patrick Doyle: I'm going to say, one of things you learn from research on loyalty programs is they can get very complicated and you loss customers when they get too complicated and so this is very simple. Its transparent, people understand what they need to do. Fundamentally six orders over $10 gets you free medium pizza.
Brian Bittner: Make sense. All right. Thank you.
Patrick Doyle: Thank you, Brian.
Operator: Your next question will come from the line of Jeffrey Bernstein with Barclays.
Jeffrey Bernstein: Great. Thank you very much. Two questions, maybe just first on the U.S. comp growth, it that looks like now we're talking about four consecutive quarters where you've actually done double-digit comp growth.
Patrick Doyle: We are.
Jeffrey Bernstein: And I know you don't offer much guidance, but I'm just wondering how you even think about growth from here, I mean, you mentioned the new national digital campaign which effectively started in 4Q in the loyalty program as well. But when you think about those comps going forward, I'm assuming like most of your peers the focus is more on the two and three-year trend to be fair and therefore, it would just seem like its hard to sustain that level of growth. And again I know you don't give guidance, but is it fair to say that you look at the two and three-year and you'd have a tough time from a capacity constrain perspective maintaining this type of double digit momentum?
Patrick Doyle: No. The capacity constrains issues is simply upside for us. It's something that can be dealt with. I will tell you that the best day a franchisee has or we have in our corporate stores is we have so much volume coming in that we need to add another oven or a longer make line or something like that to handle that capacity. And I'll go back to the comments that I made about our franchisees and the system. Overall, I am just extremely pleased with how they are executing. At some point if the volume coming into the store is simply too much to handle with the size of the overall store than you got an opportunity to add another store. You're seeing that as part of the increase in that store growth and that too is a great day when you look at a store and say, my volume and as a result my profits coming from the store are extremely strong and I think its time to add another store to handle some existing territory. Those are incredibly high class problems. So, look obviously we are really pleased with four quarters in a row of double-digit comps. And I would point out year-to-date our international business is north of 7% which if you look at our history going back 15 plus years that is as good that has been over that period of time as well and momentum is a power thing. So I guess what I would say is we wake up every morning and we're trying to figure out how do we sustain momentum and how do we keep the growth going in the business. We are never satisfied with the sales that we're getting. We always want more. We never satisfied with the execution we have in the store, even though we're pleased with where we are. It's our job to continue to look for more opportunities to reduce friction points for customers and it's our job to keep momentum going. And so obviously I can't go into what's happening within quarters or expectations going forward except to say that we are extraordinarily focused on keeping that momentum going.
Jeffrey Bernstein: No. That's tremendous. I assumed you were going to acknowledge the year ago compares, but it seems like it’s not necessarily just lapping at double-digit would imply you couldn't sustain this sequential momentum which is obviously a little more impressive. My other question was just on the labor line, which I know it doesn't get a lot of question because you're primarily franchise system, but from the company operate side there was some significant pressure on the third quarter. I'm assuming that pressure is probably seen by the franchisees as well. I was wondering whether you won't had any quantitative data on the current or projected labor inflation percentages you're seeing or whether in conversations with franchisees there is feeling, an inclination of price more aggressively to offset since like some other franchise system are talking about franchisees getting more aggressive to mitigate what could be significant prolong labor inflation. So just wondering what your kind of sense of the franchise community?
Patrick Doyle: Yes. So, on labor rates specifically around our company-owned store first, we saw a little bit of an uptake in that line. Some of it wage rate, some of it just higher bonuses as our performance in our corporate operations has been very good. On the franchisees side on balance we only have 375 corporate stores. I think the other 4800 or so are generally seeing kind of the same environment around wages. The other thing I'd say is kind of despite any wage inflation, we haven't seen a ton of wage inflation. I would say that our entrepreneur independent franchisees are going to manage through it. Last year when cheese was at in all time high they were able to put up their best ever on average unit economics in the 55-year history of the brand, we have a lot of great franchisees out there that really don't look for excuses, they are really just focused on managing and whether its food cost or labor line item they're going to managed through it, so we're not overly concerned about wages at the moment.
Jeff Lawrence: And the one thing I would add to that is rough the statement from before which is we believe we're well on the way to the $100,000 of EBITDA for the average franchisee, so overall different line items may move around on the P&L, but overall at the end of the day what we're looking at the most and certainly what our franchisees are looking at the most is what is the bottom line and the bottom line looks so far materially better in 2015 than it did in 2014 and 2014 was a record year.
Jeffrey Bernstein: Appreciate you easing those concerns. Thank you.
Operator: Your next question will come from the line of Steve Anderson with Maxim Group.
Steve Anderson: Good morning. I have a couple of quick questions on foreign exchange. First wanted to ask was the impact of the foreign exchange in the third quarter known at the time of the pre-release? And wanted to ask why, if you didn't know why you weren't at liberty to discuss that. And I have a follow-up regarding guidance?
Jeff Lawrence: You know, on FX generally it’s been a headwind for us, every quarter this year the run rate on a material basis really wasn't that different than we seen over the past 12 months, so its going to be $18 million to $20 million based on our current estimate about three quarters of that, now we're at two, three quarter at the year. We've taken, but again, I don't think any surprise that FX is a headwind for us or any other QSR with international operation. And when you look at the basket we've got a real nice diversified basket of currencies. It is just that we find ourselves in 2015 where the dollar has decided to strengthen against darn near every single one of them. Despite that headwind we remained proud what we're able to do on the bottom line and we'll monitor going forward, but I don't think the FX in Q3 was any different on a run rate basis than we'd expected.
Steve Anderson: And what gives you the confidence to not increase the high end of that guidance, I mean, do you see any signs of moderation going forward?
Jeff Lawrence: Well, what we do, I mean, what we do is as far as our estimating process on FX is we basically subscribe to an independent kind of economist consensus around FX and we get all of the best thinking around where people think FX is going to go and that's how we drive our estimate. So we're not taking kind of our own personal view of the world or on FX market. We just think that you know it's been a headwind Q4 likely also to be headwind with the comment I made earlier that we expect this total tally in 2015 to be $18 million to $20 million. Again things can change, FX can change, but that's our best view over that at the moment.
Steve Anderson: Thank you.
Operator: Your next question will come from the line of John Ivankoe with JPMorgan.
John Ivankoe: Thank you. Can you hear me?
Patrick Doyle: Yes.
John Ivankoe: Okay, good. I'm sorry; I'm in a hotel room. Just regarding the question on labor earlier, obviously there was kind of increase in your company store labor cost I think a lot of that was due to incentive compensation, and my questions are several. As or has been that significant move towards digital ordering, what have you done with the labor in the store? Have you continued to reallocate the order takers to pizza makers, which have actually added capacity to their stores? Have you heard from franchisees that they actually think that they might be able to reduce the number of labor hours in the stores? And as we hear about minimum wages, at least from what I remember in the past, your drivers were paid kind of a full minimum wage; in other words as a non-tipped employee versus a tipped employee. In markets where the minimum wage might go to $15 an hour, your delivery driver turns into an extremely well-paid position, which I guess is fine. But do you actually have an opportunity to maybe classify some drivers perhaps as tipped employees where the minimum wage impact might not be as significant for the franchisee? Thanks.
Patrick Doyle: Yes. First of all, we do have some tip credit team members out there. And it's kind of a market by market decision. We're looking at what we need to pay to get great people in markets and that varies and obviously minimum wage varies, your ability to apply tipped credit and all varies state-by-state and sometimes city-by-city. And it various even more greatly with our franchisees who are making their own decisions on their compensation, and so, there is a lot of variation on that. And at the end of the day, we've got to pay at a level that's going to get us great team members and ultimately that's also going to include what their tips are going to be as drivers and that also varies market-to-market. And frankly as we look at their overall compensation we're taking into account kind of the level of average tipping in different markets, because we know that's going to be part of their decision, they're going to make whether or not they're going to work for us and what their total compensation picture is going to look like. In terms of labor and digital and kind of efficiency in the stores, I will tell you that there is still inefficiency in the stores, there are still opportunity to get better and how we manage our labor, but we have enormous advantage in our platform with our know-how with digital to be able to run our stores efficiently. When we were first getting digital ordering going, I will tell you that we expected labor efficiency faster than we saw it. We didn't really start seeing a lot of labor efficiency in the stores until we got to kind of this 15% to 20% digital order range. We were looking very carefully when we were kind of single digit 10% and we really, we had to look awfully hard to see it. And the reality is that you've got a fixed amount of labor in stores to cover shifts, to cover the basic functions in the store and when it was a relatively low level, our digital orders, your ability to offset labor was pretty minimal. As its gotten higher we started to see more impact from that and we're in the range now with digital sales around 50% that we clearly can see some savings in the store. What's maybe more important than that though is not just the labor savings, its kind of the overall profitability of digital orders. And what's most important on that is order comp growth. As customer experience the ability to drive frequency retention of those customers that ultimately what drivers better overall economics in the stores. Volume order counts, happy customers ultimately has more affect than labor savings or anything else. So, we believe given our the strength of our digital platform it puts us in certainly a better than average position to kind of manage kind of the overall cost structure, particularly if we see change in that going forward and we continue to make investments that hopefully we're going to continue to create even more competitive advantage around that.
John Ivankoe: Thanks great. Thank you.
Patrick Doyle: Thanks, John.
Operator: Your next question will come from the line of Mark Smith with Feltl and Company.
Mark Smith: Hi. Good morning, guys. Two quick ones. First, just looking at pricing, it looks like you had bit of an increase in ticket, but mostly traffic. Can you guys get more ticket or take price increases in today's kind of competitive environment?
Patrick Doyle: We've some ticket and go back to the comments I made about Marbled Cookie Brownie. That helps getting ticket. Fundamentally you have two ways of doing it. You can sell more food or you can increase price. If you can get it by selling more food that's going to help the overall profitability of the order and it is also something not going to negatively impact the customer in any way. But I think my overall take is customers are smarter today, more careful about how they are spending their money post the downturn in 2008, 2009 and that hasn't changed. They've got access to more pricing information. They are making smarter decisions and that's ultimately a great thing that helps us because we create great value. But in terms of is there significant pricing power for us, no, there is not. I don't think you can take aggressive price in this economy right now and not expect that’s it’s going to hit your order counts. So you know we do it very judiciously, when we can we try to take it by selling more food as opposed to directly increasing price, but you know both of those play in and the majority of the pricing decision is made locally by the store. They honor the national price point but the majority of the sales are being done off a local price points, local menu pricing, local coupons that are being chosen and that gives you an ability to adapt the kind of local market conditions both customer demand and the cost structure that’s in place market by market.
Mark Smith: And you spoke to my second question a little bit. When you do see a current order with dessert, is it typically incremental to the check or do customers cut a little bit out of their order to fit in that desert? And I guess just looking at marbled cookie brownie if you do move to marketing that, should we expect that to be purely incremental or will people cut something else out?
Patrick Doyle: You know you hope for it to be as incremental as possible obviously and we wouldn’t do it if it wasn’t incremental. Can you see it cannibalizing a little bit?
Mark Smith: Sure.
Patrick Doyle: And you know and we have a terrific lave cakes and you would expect to see a little bit of it come out of the lava cakes. But we wouldn’t do it if we didn’t think that it was going to be largely incremental.
Mark Smith: Okay, excellent. Thank you.
Patrick Doyle: Thank you.
Operator: Your next question will come from the line of David Carlson with KeyBanc
David Carlson: Hey thank you. I've got a couple questions for you guys and I appreciate you guys taking the question. Jeff, first on the commissary segment, I realize that $1.4 million of insurance claims was included in the costs during the quarter. But even when we adjust that out the supply chain segment profit was shy of our expectations and was about $1.7 million below the profit generated in the first two quarters of 2015. So I know cheese prices were about $0.10 to $0.15 higher in the third quarter than they were in the first two quarters of 2015, which I mean in all honesty would have expected that to result in significantly higher revenue than what you guys reported. So really hoping you could discuss some of the moving pieces and parts of the supply chain and some of the factors that may be impacting profitability.
Jeff Lawrence: Yes, so on supply chain if you just look at the margin and you know supply chain margins $31 million for the third quarter. A year ago it was about $29 million, we obviously have a bunch of flow through from volumes you know most of our comp increases in the quarter and year-to-date have been from traffic as opposed to ticket. You do have the insurance charge as you mentioned. Other than that, you know it’s not going to really material they are really fixed out to us, it was a little bit down as a percentage, the operating margin as a percentage of revenues, but again, we attribute that more to the insurance charge and anything. We are not seeing big big changes and things like you know labor rates or things like that. So really have nothing, nothing really incremental this year with – it’s a good business for us. It’s a good business for our franchisees, they get great product better than they can buy it anywhere else. And it’s got a good ROI for the business, but other than that insurance charge really nothing else to point out.
David Carlson: Okay. And then I know you guys are -- I think my question on the loyalty program is probably a little bit more general and not necessarily specific to the fourth quarter. But can you guys discuss the plan to convert user profiles to loyalty members? Are you guys offering any incentives, let's say, anything like that, just any sort of information that you can provide?
Patrick Doyle: It’s really is all they have to do is click a box on their pizza profile. And so we make that as simple for them as we possibly can.
David Carlson: And you said 40% of the digital users include pizza profiles?
Patrick Doyle: Correct.
David Carlson: Okay. And then just out of curiosity how much did the digital mix increase during the third quarter. I know this is the quarter you usually were supposed to start increasing once people go back to school etcetera?
Patrick Doyle: Yeah except that you really see that in the fourth quarter, so still very consistent.
David Carlson: It’s around 50%.
Patrick Doyle: Yep.
David Carlson: Thank you, guys.
Patrick Doyle: Thank you.
Operator: Your next question will come from the line of Joseph Buckley with Bank of America.
Joseph Buckley: Thank you. Couple of follow up questions. Just on the insurance charges will you be accruing at a higher level going forward about thinking about next year and maybe the out years?
Jeff Lawrence: Yes, so and as Patrick mentioned earlier we are all hands on deck on ensuring that the financial picture around insurance doesn't repeat itself as far as kind of this, this little blip we had. But more importantly it’s about getting team members home safely. Our run rate going forward it will also largely be determined kind of by an actuarial estimate for the next fiscal year we expect that to be you know marginally up from our historical run rate just because of those the increase that we had earlier this year and some of the severity that we saw, we don’t think that’s going to be a materially higher run rate and again I think that again as Patrick mentioned to the extent that we are successful in managing through this I think we are going to get it down to the long term run rate over time. So I don’t expect it to be a material headwind for us or an increase really in 2016 maybe a little bit but again that will be kind of done with our independent actuary coming up in the next couple of months.
Joseph Buckley: Got it, thank you. And then a question on the supply center revenues. You mentioned equipment sales to franchisees as the reimages, remodels occur and I guess also maybe the new unit openings. Can you tell us what portion of the supply chain revenues that is and what is the margin on that, is that a profitable sale for you?
Patrick Doyle: Yes, no its – so first of all we haven’t broken out exactly what those sales are, but the answer is net of the people that we needed to add to manage this process of going through the reimaging and it will have no positive or negative effect on our bottom line P&L. So, you know what you kind of guess that is should you worry about whether or not as we finish the reimaging whether or not there will be a drop off in profits because we are no longer selling the equipment for the reimage as the answer is no. You shouldn’t worry about that because net of the people we needed to add to manage through the process it has no positive or negative effect on our profitability.
Joseph Buckley: Got it. Thank you. And then Patrick, just a big picture question. We are seeing lots of companies; lots of brands announce delivery relationships. And not every business lends itself to delivery like the pizza business has. And it is in the genes of the business long term. But I am curious what you would think about this movement towards delivery, just broadly, and what maybe are some of the things that some of these companies or brands will have to deal with that is just a natural part of your business, but is going to be some new consideration on their side?
Patrick Doyle: Yes well first clearly we are kind of the world leaders in real time delivery. We’ve been doing it a long time, we are very efficient at it and we’ve got a lot of system built up around that particularly operationally. And I guess what I would say is there are a lot of people who have gotten into the space. My understanding is that as it relates to moving packages and food, very few if any of them are today making money doing that. There are folks that are doing pretty well out there moving people around, but I think people are learning that you know moving packages around and the scale that you need to do that it’s not easy. And you know there are real operational complexicities to it beyond kind of building the software platform to do it. So we are really good at it as people have tried to compete with us around the world in delivery I think they have found out overtime that it’s operationally not as easy to operate as people may think and it has been a great source of advantage for us versus our competition both. What we are able to do with the digital platform and the scale of our business and the ability to spread those costs across the system has built a pretty effective competitive advantage for us as people have tried to get into physically moving food or packages around – I think they are finding that the economies or scale on that are pretty tough. So we watch it closely, and you know both domestically and around the world but we are pretty confident of our ability to do it awfully well and as you are aware we’ve been investing heavily to continue to drive efficiencies for us in doing it.
Joseph Buckley: And, Patrick, another kind of big picture question, is the movement towards delivery of restaurant meals more advanced internationally? Yum! was talking about this yesterday with respect to its China business. And I am just kind of curious given your international footprint, and I know China is not a very critical market for you at this point, but if you seeing delivery outside the U.S. gaining traction faster?
Patrick Doyle: Yeah, I think you know certainly if you look at China, you’ve seen both KFC and McDonald’s in major cities have done delivery. And you know that’s still less common for them across their system than more common. So as China I think has done a little bit more at the forefront for those brands in moving the delivery. There's certainly lots of aggregators out there for kind of digital ordering and most of which are not as significant scale yet and then you’ve – I think from kind of the delivery service side, there are certainly markets where that’s moving faster than others but I don’t know that I would say it’s materially different in international than it is in the U.S. I don’t know if it’s any more advanced in a lot of these markets than what we are seeing in the U.S. Our business in China – we’re still under a 100 stores but we continue to be pleased with the progress we are making there but you know obviously it is still a relatively small business for us.
Joseph Buckley: Thank you. I appreciate that perspective.
Patrick Doyle: Thanks, Joe.
Operator: There are no further questions in queue at this time.
Patrick Doyle: Thank you everybody. I look forward to seeing you at our Investor Day in January as well as discussing our fourth quarter earnings and year-end results on February 25th.